Operator: Hello, and welcome to the Brookfield Homes Corporation conference call and webcast to present the company's second quarter 2008 results to shareholders. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator instructions) At this time, I'd like to turn the conference over to Mr. Ian Cockwell, President and Chief Executive Officer. Please go ahead.
Ian Cockwell: Good morning ladies and gentlemen, and thank you for joining us today for Brookfield Homes' second quarter conference call. Before we continue, please note that, in talking about our financial performance and responding to questions, we may make forward-looking statements. Forward-looking statements are subject to known and unknown risks and results may differ materially. For further information on such factors or risks, I would encourage you to see Brookfield Homes' SEC filings and the full text relating to forward-looking statements in our Form 10-K and 10-Qs, which are posted on our Web site. We've also posted a supplementary information package on the Web site under the Investor Relations section under Reports and Presentations. It provides details of operations and other key measures of performance. Joining me for the call today are Paul Kerrigan, our Chief Financial Officer, and Linda Northwood, our Director of Investor Relations. I will start today's agenda and then turn the call over to Paul, who will review our performance for the second quarter. The overall challenges for the homebuilding industry will continue well into 2009, with consumer confidence at all-time lows and months’ supply of resale and new homes for sale at all-time highs. However, the rate of decline in new and existing homes has slowed and housing affordability has improved. We have addressed these challenges and have successfully increased our sales base during 2008 when compared to the second half of 2007. Our focus on monetizing our inventory of fully developed lots continues with the visibility improving on achieving $100 million of operating cash flow for 2008. Given our current level of finished lots inventory, we are not investing any significant amount in developing the entitled land we own. And in the interim, we will be using the operating cash flow to repay debt. Recently, a number of larger land development projects in California and Nevada have faced debt repayment issues. Also, we have seen new sources of capital coming into the markets to acquire distressed land opportunities. However, we are not aware of any major land transactions that have closed in our market areas. Our management skills in entitling and developing land are being sought after by those who wish to enter the market or are wanting to monetize or enhance the value of land assets they may now own. Our business model of adding value at each stage of the land development process enables us to participate with either land owners or financial holders to enhance value. The fundamental shift of economic ownership in land assets should work itself through the market over the next 12 to 18 months and we are aligning ourselves to participate in acquiring strategic land positions. I would now like to turn the call over to Paul, who will discuss our financial performance for the quarter ended June 30, 2008.
Paul Kerrigan: Thank you, Ian, and good morning. For the quarter ended June 30, 2008, Brookfield Homes reported a net loss of $9 million or $0.33 per share. This compares to net income of $9 million for the same period last year. Net loss before taxes for the three months ended June 30, 2008 was $14 million compared to net income of $15 million for the same period in 2007. The decrease of $29 million was primarily due to the following – our gross margin on housing land revenue decreased by $13 million before impairments, the decrease is due to a decline in the gross margin to 12% from 18%; a decrease in the number of homes closed; as well as the decrease in our average selling prices. Also, for the three months ended June 30, 2008, the company's recorded impairments and write-offs of option deposits of $70 million on 581 own lots and 108 option lots, as well as 10 million of impairments on an equity accounted joint venture located in the Inland Empire of California. The company did not report any impairments in the second quarter of 2007. The aforesaid [ph] amounts were partially offset by lower selling, general and administrative costs and minority expense of $5 million, an increase in equity earnings from housing joint ventures of $2 million, and a change in the mark-to-market income on interest rate swap contracts of $4 million. In total, it’s $11 million. And for the second quarter of 2008, we closed 216 homes and 28 lots for a total of 244 home and lot closings. This compares to a total of 258 home and lot closings for the same period last year. Housing revenue totaled $115 million for the three months ended June 30, compared to $155 million for the same period last year. And the company's average selling price was $548,000 compared to $657,000 again for the same period last year. This decrease is primarily due to a change in our product mix and also higher homebuyer incentives and/or reduced selling prices. Out land revenues were nominal at $4.5 million, which arose from the sale of only 28 lots. In terms of our net new orders, they were 237 units, an improvement over the 212 units in the same period last year. And cancellation rates were 16%, which were consistent with our first quarter. The level of our sales achieved in the first half of 2008 combined with a lower level of home construction starts to date position us well to reduce our construction inventory during 2008. And in terms of our cash flow, during this quarter, we generated $49 million of cash flow from operations, which included a refund of income taxes of $18 million. And we continue to target $100 million in cash flow from operations in 2008, as we monetize our housing lands finished lots, and we expect this cash flow to be used in the interim to pay down debt. And in terms of our balance sheet, our housing land inventory and our investments in housing land joint ventures comprise the majority of our assets. These assets have increased by $33 million during first six months of 2008 when compared to the balance at December 31, 2007. Included in this net increase is the acquisition of two joint venture interests in projects in Southern California for a total of $37 million, $7 million of which was paid by cash and $30 million was financed by debt. And additionally, these entities are now consolidated to include our share of liabilities of $30 million. Our net debt to capitalization ratio at June 30, 2008 was 65%. The acquisition of the aforesaid joint venture interest is the main reason for this 4% increase from December 31, 2007. With that, I'll turn it back to Ian.
Ian Cockwell: Thank you, Paul. Looking at the spillover from the weak housing markets into the financial and mortgage markets, this has left consumers finding very difficult to obtain financing for the purchase of a new home. However, home buyers are being assisted in obtaining financing through the increasing role of Fannie Mae and Freddie Mac in the mortgage markets. Recent announcements will also bolster the capital and provide access to liquidity for these entities. A settle mortgage market will help alleviate the disparity between supply and demand for housing. However, the company does not see an equilibrium been achieved until late 2009 or even early 2010. I will now turn the call back to the operator, who will moderate questions.
Operator: (Operator instructions) Our first question comes from Joel Locker of FBN Securities.
Joel Locker: Hi guys, just on the – just a cash flow question in general. How are looking at cash flow? Are you trying to actively share [ph] more land, obviously that’s harder [ph] than selling to that degree recently, but or are – or you’re just focusing more on increasing cash flow from just home closings and try to generate it that way?
Paul Kerrigan: Yes, Joe. By and large, the cash flow target of the $100 million does not assume any significant land sales raw or developed lots. But as we close, if we say we are going to close a similar number of homes as we did last year and we think we are well positioned to do that. That’s where that cash flow comes from.
Joel Locker: I understand the 100 million, but are you trying to maybe go over and beyond that and trying to sell some of the entitled lots that are partially finished lots just to generate some cash flow obviously because your land supplies – you have enough land for many years?
Ian Cockwell: In the markets, and it depends in where the lots are located. In the coastal areas, we certainly, we find that (inaudible) supply of lots and there is a greater interest in land opportunities in those areas. And we continually evaluate our assets as to a projected future returns balancing it against the alternatives of selling an asset.
Joel Locker: Right. And just a follow-up, on your land sale on the $4.5 million in revenues, what was the profit or loss on it?
Paul Kerrigan: It was a nominal profit.
Joel Locker: $0.1 million or $0.2 million, or something like that?
Paul Kerrigan: Something in that range. Yes.
Joel Locker: In that range. All right, thanks. I’ll jump back in the queue.
Operator: Our next question comes from Peter Martin of Matthes Capital.
Peter Martin: Yes. I had a quick question on the other income expense. Would that be where you have that swap gain?
Paul Kerrigan: Yes. Including this quarter was $8 million of income from the swap contracts. It was $4 million last year. So, a net change of $4 million, and if you recall in our first quarter we had a loss on our swap contracts of $8 million. So, we are just marking it to market.
Peter Martin: So, it’s just coming back to you this quarter. The gain last year was $4 million for an apples versus apples?
Paul Kerrigan: Exactly.
Peter Martin: Okay. And what’s the increase in the minority interest? Is that a JV, the $2 million, the positive 2 million?
Paul Kerrigan: On the income statement?
Peter Martin: Yes please.
Paul Kerrigan: Well, if you look at the – our business groups present in our operating regions own an interest in the respective business groups, so to the extent that certain business groups have losses, we recover that back from the minority interest rates.
Peter Martin: Okay, to that end, what regions in particular where generating those recoveries?
Paul Kerrigan: If you look at our overall loss for the quarter of $60 million, most of that is driven by our impairments in our Virginia, Washington DC area. That where that recovery mainly relates to.
Peter Martin: Okay. And kind of tied together in the supplement information on page 10, it looks like the gross margin from the Washington DC area was a negative 12?
Paul Kerrigan: Exactly. But if you exclude the impairments, it was approximately 13%.
Peter Martin: 13%. What about my cash level. So, the $16 million impairment is why that’s 12, is that correct? So, would have been a positive 46?
Paul Kerrigan: Exactly. Yes.
Peter Martin: Okay. All right, thank you.
Operator: (Operator instructions) Our next question comes from Alex Barron of Agency Trading Group.
Alex Barron: Hi guys. Sorry if you’ve already answered this one, I got slightly disconnected. Wanted to know what the amount was on the Brookfield Asset Management line of credit.
Paul Kerrigan: The line was at $243 million at the end of June.
Alex Barron: Okay, great. The other thing I wanted to ask you was on your impairments. Did you guys impair part of the deferred tax asset this quarter?
Paul Kerrigan: No, we did not.
Alex Barron: Okay. Because I saw it just came down slightly. What was that – or what explains that?
Paul Kerrigan: The reduction in the deferent tax asset?
Alex Barron: Yes.
Paul Kerrigan: We would expect a – in June we received an $18 million tax refund related to our 2007 tax return filing. And we expect in 2008, we would expect a further refund next year. So, what you are effectively doing is migrating some of your deferred tax assets into your taxes receivable.
Alex Barron: Okay, and got it. Okay, so you received $18 million last quarter?
Paul Kerrigan: Yes. To make a long story shorter, we are expecting a further recovery, sort of in the first half of 2009 also. That’s what that’s meant to explain.
Alex Barron: Okay, got. Now as far your impairments, did you give some kind of a breakdown by your geographical region like how many communities or dollars per region?
Paul Kerrigan: I think it is in my notes. But just quickly to refresh it, the impairments were a total of $27 million, $15 million was from our own lots. They were primarily in our DC area, and it was 581 lots. And we also had write-offs of option contracts of $2 million, that was 108 lots. Again, that primarily related to the DC area. And we also had an impairment of a joint venture, which was $10 million, and that joint venture was in Riverside, California.
Alex Barron: Okay, got it. All right, I’ll jump back in the queue. Thank you.
Operator: We have a follow-up question from Peter Martin at Matthes Capital.
Peter Martin: On the balance sheet, you had the consolidated land inventory not owned come down close to 17 million. Is that the purchase of the $37 million investment you referred to and that would have gone up into housing and land inventory?
Paul Kerrigan: No. It is not related to those purchases at all. In fact, what it was is – really renegotiations have a lot option contract that we acquired – effectively acquired during the quarter. So, it wasn’t related to the joint ventures that we acquired. But we have acquired those lots related to that consolidated inventory not owned.
Peter Martin: So, the drop in the valuation is the renegotiation of what you purchased?
Paul Kerrigan: Effectively.
Peter Martin: And then, on housing and land inventory, that’s where the $37 million in purchase would be?
Paul Kerrigan: The $37 million in purchase – You mean, in terms of the change in the consolidated land inventory?
Peter Martin: Yes, because you said you used 7 million in cash and 30 million in debt.
Paul Kerrigan: That’s right. But that’s not related to the change in the consolidated land inventory.
Peter Martin: Okay. What would be that change then?
Paul Kerrigan: I’m sorry. I was saying, unrelated to the $37 million regarding the acquisition of the two joint ventures, we also meant to renegotiate a lot option contract that we had previously consolidated under the FIN 46 provisions. And in the quarter, like I say, we renegotiated that and now that’s included in our housing land inventory.
Peter Martin: Okay. Yes, I apologize. I jumped to housing and land inventory, and I didn’t tell you that on my second question, the increase in housing and inventory, where that land increase was, right?
Paul Kerrigan: Exactly.
Peter Martin: Okay. Then we were on the same page. I just didn’t communicate very well.
Paul Kerrigan: Okay.
Operator: We now have a follow-up question from Joel Locker of FBN Securities.
Joel Locker: Hi, guys. Just on your JV earnings, I don’t know if you guys have mentioned it (inaudible) of call, but the 2.4 million what region do they come from?
Paul Kerrigan: From our San Diego area.
Joel Locker: San Diego, and was that on actually closing homes or actually selling land or what was it?
Paul Kerrigan: Selling of lands.
Joel Locker: Selling of lands. And just on the 100 million in equity on your JV, how much of that is responsible or is against that?
Paul Kerrigan: Yes, we are responsible for $65 million.
Joel Locker: $65 million.
Paul Kerrigan: And when I say responsible, the recourse liabilities are $65 million.
Joel Locker: Recourse liabilities $65 million. All right, thanks a lot.
Operator: We have a follow-up question from Alex Barron of Agency Trading Group.
Alex Barron: Yes, thank you. I wanted to ask, as far as your – I think you said you wanted to diminish the amount of money you guys spend on land development this year, so I was just trying to understand how much have you spent so far this year and what your goals for the remainder of the year?
Paul Kerrigan: Yes, I would say in total we have spent approximately – I don’t have exactly (inaudible) in front of me Alex, but approximately we’ve spent $25 million on land development and that’s primarily moneys to keep option contracts, applicable deposits, and cleaning up phases of subdivisions to get to the finished lot state. So that there are more salable assets if need be.
Alex Barron: Okay. Do you have an estimate for how much you guys are going to spend in the balance of the year?
Paul Kerrigan: Our estimate today is approximately $10 million to $20 million.
Alex Barron: Okay. Got it, thank you very much.
Paul Kerrigan: Okay.
Operator: There are no further questions at this time. I’ll turn the conference back to Mr. Cockwell for any closing comments.
Ian Cockwell: Thank you for joining us today. And we look forward to having you participate on future conference calls.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.